Operator: Good morning. Thank you for attending today's Semrush Holdings Third Quarter 2025 Results Conference Call. My name is Jerry, and I will be your moderator today. [Operator Instructions] I would now like to pass the conference over to our host, Brinlea Johnson.
Brinlea Johnson: Good morning, and welcome to Semrush Holdings Third Quarter 2025 Conference Call. We'll be discussing the results announced in our press release issued after market close on November 5, 2025. With me on the call today is our CEO, Bill Wagner; and our CFO, Brian Mulroy. Today's call will contain forward-looking statements, which are pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include, but are not limited to, statements concerning our expected future business and financial performance and financial condition, expected growth, adoption and existing and future demand for our existing and any new products and features, our expected growth of our customer base and specific customer segments, the continued development of our products, industry and market trends, our competitive position, market opportunities and growth strategies, sales and marketing activities and strategies, future spending and incremental investments, our guidance for the fourth quarter of 2025 and the full year 2025 and statements about future pricing and operating results, including margin improvements, revenue growth and profitability, assumptions regarding foreign exchange rates and plans. Forward-looking statements are statements other than statements of fact and can be identified by words such as expect, can, anticipate, could, believe, seek or will. These statements reflect our views as of today only and should not be relied upon representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements address matters that are subject to risks and uncertainties that could cause actual results to differ materially from these forward-looking statements. For a discussion of the risks and important factors that could affect our actual results, please refer to our most recent annual report on Form 10-K filed with the Securities and Exchange Commission as well as our other filings with the SEC. And finally, during the course of today's call, we will refer to certain non-GAAP financial measures. There is a reconciliation schedule showing the GAAP versus non-GAAP results currently available in our press release issued yesterday after market close, which can be found at investors.semrush.com. Now let me turn the call over to Bill.
William Wagner: Thank you, and good morning. I'm pleased to share that Semrush reported a strong quarter with revenue of $112.1 million, non-GAAP operating margin of 12.6% and cash flow from operations of $21.9 million. Demand across our portfolio once again delivered double-digit revenue growth, and we saw one of our strongest organic net new annual recurring revenue quarters in years. In addition to the growth we continue to see across our industry-leading SEO portfolio, customers are experiencing tremendous value from our new products. We've now introduced 3 new products for our enterprise customers in the last 15 months, and growth in that segment accelerated in Q3 to 33% year-over-year. Our AI search products, including our AI Toolkit and AI Optimization products that were launched this year, added $10 million in ARR in the quarter, more than doubling from Q2 to Q3. These products are not only attracting new customers to Semrush, but we're also seeing unprecedented growth from our existing customers, where our average ARR per customer has increased 17% year-over-year. Before going deeper into the results of the quarter, I'd like to step back and discuss the dynamic environment of online visibility and what we're hearing from our customers and how Semrush is positioned to capture this market opportunity. Over the last decade, the digital landscape has become more crowded, fragmented and competitive. During this period of change, websites and blogs persisted as essential elements, not just as branded destinations for consumers and customers, but as critical content repositories that support a brand's narrative and provide an important underpinning of its digital presence. On top of these foundations, new content channels emerged as social media properties like Instagram and TikTok began to look more like traditional media, competing for eyeballs and selling advertising. The one constant during this period has been the role of search engines in driving traffic, clicks and transactions. Semrush emerged as the category leader by helping companies stand out in this crowded digital landscape, giving marketing teams a single integrated platform to understand their market, track competitors and optimize performance across websites, blogs, social media and other channels. As we exit 2025, we believe we are at another inflection point. For the first time in a generation, we have seen important changes to the search landscape and how people engage online. The headline is that more people rely on search than ever before, but the ways consumers use it and what they expect from it are changing rapidly. Google remains the dominant front door to the Internet with over 5 trillion searches a year, representing more than 90% of all daily searches and continuing to grow. In addition, people are also using LLMs, often for a different type of use case altogether, such as planning a trip, doing product comparisons or other zero-click activities. This means that we are living in a moment of expansion in both the volume and the use cases of search. This, in turn, creates a significant opportunity for Semrush. While AI introduces new ways to answer questions, large language models still need source material, and they start with the same indexes that power the traditional blue links world of classic search. These models don't just read your company's website and content. They also weigh what others say about your brand in order to assess credibility. That creates new challenges and opportunities for our customers. Companies must now track and influence what appears on review sites like Yelp on user-generated platforms such as Reddit and in videos on YouTube. And this isn't only our point of view. Our users and customers have validated it. We recently brought together more than 1,300 marketers, influencers and industry analysts at our Spotlight conference in Amsterdam, and the energy was palpable. Practitioners and experts alike realize that they are at the beginning of a new frontier and suddenly see themselves at the center of attention as CMOs, CEOs and even board members talk about their brand visibility or lack thereof in AI-generated answers. While there's still uncertainty about the future of this emerging space, over the course of a few days, it became clear that this group agrees on 2 things: first, that building a strong presence in LLMs begins with SEO. And second, that while a well-thought-out and executed SEO strategy is absolutely essential, it's no longer sufficient without adding a strategy to increase discoverability in LLMs. AI has raised the bar for discoverability, but it builds on the same fundamentals that already separate leaders from laggards. The winning path is not to abandon SEO, but to combine proven SEO with systematic optimization for AI engines, so brands are found, cited and chosen, whether in a search engine results page or in an AI-generated answer. At our core, Semrush is a data company with a software interface built around it. We have one of the richest and largest data sets in the world, a combination of proprietary and industry data that includes 27 billion keywords, 43 trillion backlinks and over 800 million domains. To this data set, we apply our proprietary algorithms to provide unmatched insights to our customers. Over the last several quarters, we've been busy augmenting our data set with LLM data. And today, we've assembled one of the largest prompt databases in the world. As the world's largest platform for digital visibility and with the largest data set of both traditional and LLM search data, Semrush is uniquely positioned to help our customers generate results. We have a clear opportunity with proven leadership and the capabilities and ambition to lead marketers through this new era. As we saw during Q3, customers are flocking to our products to help them navigate this exciting evolution. One of the top priorities I noted earlier this year was doubling down on AI because we believe we are approaching a time when every marketing team will need to add AI search capabilities on top of their SEO foundation. We saw this play out in the most recent quarter as the traction in our AI products accelerated. Today, more than 10% of Semrush customers are already using at least one AI product, and we see a path for adoption across the majority of our customer base, representing a significant expansion opportunity. Our AI Toolkit launched in March 2025 and Enterprise AI Optimization launched in June of this year, both are among our fastest-growing products in company history, enabling our AI portfolio ARR to more than double from Q2 to Q3. Together, we expect our AI products will approach $30 million in ARR as we exit the year. For existing customers, these products are additive rather than a replacement for their SEO tools. And it's one of the primary reasons we're seeing double-digit increases in average ARR across all segments of our customer base. We expect continued AI momentum in the fourth quarter with further acceleration in 2026 from Semrush One, our newest product that we launched just a week ago. Semrush One offers marketers a way to win in every search, whether in a search engine like Google or on a platform like ChatGPT, Gemini or Perplexity, all in a single tool. Having launched AI Optimization for enterprises earlier this year, Semrush One now makes AI visibility accessible to marketing teams at companies of all sizes. Instead of buying multiple products or switching between different solutions, marketers can have it all in one simple-to-use product with unified workflows. The new launch strengthens our position with an extensive portfolio for all customer segments, and we believe Semrush One will emerge as a new benchmark for the industry. Finally, I'd like to close by highlighting our progress in the quarter from our Enterprise segment. Focusing on this segment was another priority we highlighted earlier this year, and our investments in both the enterprise product portfolio and go-to-market strategy continue to drive strong growth. Our Enterprise SEO product, which was introduced just last year, is the largest driver of revenue growth as we successfully move upmarket and take share away from legacy incumbents in Enterprise search. Our average revenue per user in this segment is now above $10,000 and the number of customers paying over $50,000 per year increased by 72% year-over-year. In Q3, we also began introducing our new Enterprise Site Intelligence product, which along with AI Optimization is our second new product for the Enterprise segment we've launched in the last 6 months. We've been very pleased with the adoption of these new products and now see a path to $100,000-plus average ARR for customers that adopt our Enterprise platform, up from the $60,000 target we mentioned at our Analyst Day just a year ago. In summary, the search landscape is shape shifting before our eyes, and we're giving marketers the power to have a full picture of their visibility, act quickly and improve their position to win. AI search isn't replacing the SEO opportunity, it's compounding it. We've helped define the SEO playbook and as our Q3 results highlight, we're doing it again for AI search. We believe our targeted shift towards enterprise customers and our expanding AI product portfolio will position us well for long-term growth. Our pace of innovation and new product development, along with our comprehensive and expanding data set will allow us to take advantage of the massive market opportunity in front of us. With that, I'll turn the call over to Brian to walk you through the financial results of the quarter and discuss guidance.
Brian Mulroy: Thanks, Bill. We delivered a strong quarter with revenue of $112.1 million, non-GAAP operating margin of 12.6% and cash flow from operations of $21.9 million. Annual recurring revenue was up 14% year-over-year and grew $20 million sequentially to $455.4 million. This represents a meaningful step-up in net new ARR generation from the last several quarters, driven by AI adoption and continued momentum in our Enterprise segment. Notably, we more than doubled our ARR from our recently launched AI products and delivered 33% ARR growth from our enterprise customer segment, driven by strong adoption of our new Enterprise portfolio. Our average ARR per paying customer increased to $4,000, representing growth of more than 17% compared to the same quarter last year, which is the highest level of growth we've achieved in 13 quarters. Additionally, we're seeing rapid growth among our largest customers with the number spending over $50,000 annually, increasing 72% year-over-year. As of September 30, 2025, we reported approximately 114,000 paying customers, down from the prior quarter, primarily reflecting our strategic focus on engaging more sophisticated and higher-value customers. Our dollar-based net revenue retention held steady at approximately 105% in the third quarter. Within Enterprise, net revenue retention continued to strengthen, reaching 125%, an improvement of nearly 800 basis points year-over-year. Customers that have adopted at least one of our AI solutions are performing even better with net revenue retention approaching 150%, reinforcing that AI drives incremental use cases and expansion alongside traditional SEO. As our mix continues to shift towards Enterprise and AI, we expect overall net revenue retention to trend higher over time, reflecting deeper product adoption, larger deployments and more multiproduct expansion. We achieved positive non-GAAP operating income of $14.1 million in the third quarter, up 20 basis points year-over-year, resulting in a non-GAAP operating margin of 12.6%, exceeding our guidance. Cash flow from operations was $21.9 million in the third quarter, representing a cash flow from operations margin of 19.5%. Free cash flow was $17 million in the quarter, resulting in a free cash flow margin of 15.2%. As a reminder, we encourage investors to evaluate our cash flow performance on an annual basis given the inherent quarterly variability driven by annual subscription renewal cycles, the timing of tax payments and prepaid expenses. We ended the quarter with cash, cash equivalents and short-term investments of $275.7 million, up $42.8 million from the prior-year period, reflecting the continued strength of our free cash flow generation. Turning now to our guidance. For the fourth quarter of 2025, we expect revenue of $117.5 million to $119.5 million, which at the midpoint would represent growth of approximately 15.5% year-over-year and non-GAAP operating margin at approximately 12.5%. For the full year 2025, we expect revenue in the range of $443.5 million to $445.5 million, representing approximately 18% growth at the midpoint. We are reiterating our previous full year guidance of approximately 12% for both non-GAAP operating margin and free cash flow margin. Our non-GAAP operating margin guidance now absorbs an incremental expense headwind of approximately $10 million resulting from recent exchange rate movements. Our initial guidance assumed a euro to U.S. dollar exchange rate of $1.05. And while we are currently modeling $1.16, rates during the first half reached as high as $1.18. As a reminder, approximately 30% of our expenses are denominated in euros. And since our revenue is almost entirely in U.S. dollars, our margins are effectively unhedged against these currency fluctuations. Absent these exchange rate impacts, our full year operating margin would have reflected meaningful leverage inherent in our model. Said another way, excluding these currency impacts, our margin guidance would have implied a year-over-year expansion of approximately 230 basis points. Similarly, we continue to expect our full year free cash flow margin to be approximately 12%, representing a 260-basis-point improvement compared to 2024. This expansion is driven by improved profitability as well as continued growth in our Enterprise segment, where we typically structure deals with a minimum annual commitment and annual billing, resulting in favorable cash flow dynamics. In closing, our Enterprise and AI products are exhibiting remarkable strength and momentum, exceeding our early expectations. As Bill noted, discoverability is compounding and customers need to win in both traditional search and AI-generated answers. Our data advantage and product velocity are meeting that moment. With $275.7 million in cash and equivalents and growing free cash flow, we are well positioned to capitalize on the opportunity ahead with discipline. Our results reinforce that our strategy, directing investments in resources toward Enterprise and AI growth initiatives is working. The mix is shifting towards higher-value customers, average ARR is accelerating and net revenue retention is improving across our more sophisticated customer base. Looking ahead, I remain optimistic about our ability to drive durable growth, profitability and strong cash flow. We are aligned with where the market is headed and well positioned financially, operationally and strategically with the right data, product portfolio and customer base to deliver long-term shareholder value. With that, we'd be happy to take your questions. Operator, please open the line.
Operator: [Operator Instructions] We will now take our first question from Scott Berg from Needham Bank.
Scott Berg: Nice quarter here. A couple for me. I guess I wanted to start off with Semrush One. I like the product announcement, but would like to help understand maybe what's different in that platform, if anything, than a customer buying, I don't know, your traditional SEO kind of product set along with AIO. Is Semrush One just really bringing those 2 together into a single offering? Or is there really something may be materially different for us to consider there?
William Wagner: Scott, thanks for the question. Yes, Semrush is fundamentally a different product. So while it leverages a lot of the same capabilities that are in our core SEO products, and a product like AI Visibility Toolkit, it's integrated in a way that allows workflows across both of those platforms, so both of those capabilities. So integrated workflow, it still has the same kind of leverages our data, which we think is one of our strengths and differentiators in the market. But it allows -- gives marketers really for the first time, really a holistic view of how AI and classic search work together.
Scott Berg: Understood. Helpful there, Bill. And then a nice bounce back in net new ARR in the quarter after the challenges that happened in the second quarter. I guess maybe a little bit of commentary on what you're able to do differently in Q3 versus Q2. Do you see anything different out of some of the Google paid search algorithms, which have been a great customer acquisition channel before? And is maybe what you're seeing in Q3 here, what we should generally expect out of the business going forward versus those challenges you did see in Q2?
Brian Mulroy: Yes. Scott, I think that's exactly it. We had a very strong net new ARR quarter, delivering $20 million overall. That's a pretty significant inflection from the last few quarters. And overall, it was driven by strong adoption of our Enterprise and AI products. For our AI products, we were able to more than double the amount of ARR, adding $10 million in annual recurring revenue in the quarter. And then with our Enterprise segment, mostly by the Enterprise products, that segment grew 33% year-over-year and expanded its average ARR to $10,000. So it's a combination of the 2. Our investments are working within AI and Enterprise and generating very strong results, and that's momentum that we actually expect to continue in the future.
Operator: We will now take our next question from Elizabeth Porter from Morgan Stanley.
Elizabeth Elliott: I wanted to go back to the idea of kind of the inflection point heading into fiscal '26. If I look at the fiscal '25 exit rate, we're looking at about a 15%. And the back half of the year is a bit of a slowdown from the first half. And total ARR, really encouraging on that net new ARR metric. But ARR did kind of overall modestly decelerate. So as we look into this inflection point into fiscal '26, one, kind of qualitatively, how are you stack ranking the drivers to inflection? And then second, what are some of the financial leading indicators that we should be looking towards first to see that turn?
Brian Mulroy: Elizabeth, very early. Yes, we'll provide guidance on 2026 in our next earnings call, but to give you some directional trends to support an expectation there. We're very optimistic about our ability to drive durable growth. Remember, the first half, there were 3 fundamental dynamics. The first is we had a few acquisitions in 2024 that we've now lapped. So going into the second half of this year, we have pure organic growth. The second part and probably most significant is we launched a number of new products. So we launched our AI Visibility Toolkit in March that started to build traction. And then we launched AI Optimization in June and now our Enterprise Site Intelligence products. The third part is around our go-to-market. That's something that we started to build in 2024 and, of course, started to get significant capacity and productivity and ramp out of that sales organization. So when you combine the 3 of those factors together, that's what's driving our strong growth in the second half and what we expect to be driving growth into 2026.
Elizabeth Elliott: Great. And then just a follow-up on that last point on the capacity and the sales org, how are you feeling about kind of the capacity today? How much incremental is there to go in sort of improving productivity relative to the kind of leading indicators on demand that you're seeing? And any sort of need to kind of free up that upmarket investment given the move?
William Wagner: Elizabeth, yes, I think we are still early days in building out our capacity. We've made great strides over the last 12 months. The team has done really, really good work and really building the framework around scaling up an enterprise sales organization. And now I think we have that framework in place. We'll continue to work on it. But really, as we look to next year, we're going to continue to scale out and those efforts are underway, scale out. We think the opportunity is there. As we said, only 10% of our base actually today has our AI products. And if you think across our Enterprise segment, we have 9,000 -- roughly 9,000 enterprise customers, but only a few hundred have our enterprise solution. So that -- think of that from an ARR step-up point, that's what we're seeing prove out. And really, we're just investing behind that momentum.
Operator: We will now next take Luke Horton from Northland Capital Markets.
Lucas John Horton: Congrats on the quarter. Just wanted to talk about kind of how you're thinking about pricing here with the launch of several new AI and Enterprise-focused products. Are you kind of pricing this on a per customer, per use case basis or kind of flat pricing for each tool or capability or kind of general pricing leverage and how that's sort of evolving with the rollout of these new products?
William Wagner: Luke, right now, I would say the pricing of the new product is really like a lot of SaaS companies, it's a hybrid model. So you see -- you do see per seat pricing, but you also see usage pricing. You also see pricing for add-on capabilities, which have proven out for us really well this year, people adding in different toolkits to the pricing. So that -- philosophically, that hasn't changed. Semrush One being our newest product, we -- that has introductory pricing. We think it is frankly, pretty disruptive for the capabilities it brings to the table. So we'll monitor that pricing as we move forward, whether we adjust that up or down. But right now, I think that provides a new entry point to the market for what we believe is the new benchmark, which is bringing together SEO and AI search into a single product.
Lucas John Horton: Got it. And then just kind of looking at capital allocation, obviously, significant cash balance over $275 million. Last quarter, you announced the buyback program, obviously, investing into the business here, but how should we think about capital deployment going forward? And then also just kind of the M&A landscape and opportunities from a data or product standpoint.
Brian Mulroy: Luke, yes, I can take that. As you mentioned, we do have a very strong balance sheet with $276 million and, of course, a very strong and growing free cash flow generation. That's a trend that we expect to continue, and it puts us in a really good position to be able to invest and allocate capital into a number of different areas. Our first priority, of course, is organic investment in the business. We see a significant opportunity ahead with AI and Enterprise across both product and go-to-market, as Bill mentioned this morning. So we're going to continue to invest in that area and make sure we're positioned ahead of the rest to be able to fully capitalize on that opportunity and drive growth. M&A, of course, continues to remain an attractive opportunity, and we'll continue to selectively assess different opportunities going forward where it makes sense for our strategic priorities going forward. And then the share repurchase, of course, is something we'll continue to focus on. We have -- we're in a fortunate position to have flexibility with that much cash and free cash flow generation, and we'll leverage all forms of capital allocation to make sure that we're optimizing shareholder value.
Lucas John Horton: Got it. And were there any repurchases during the quarter? I didn't see anything in the prepared remarks there.
Brian Mulroy: We did not this quarter. There was -- it was some litigation that we were subject to this quarter that we're working through. We expect that we'll be able to navigate through that, and we'll update investors as we advance through.
Operator: We will now take our next question from Jackson Ader from KeyBanc Capital Markets.
Jackson Ader: First one is on the seasonality of the business. Should we expect a bigger -- a larger-than-usual ARR build in the fourth quarter now that the mix of the business continues to shift toward enterprise?
Brian Mulroy: Yes, absolutely. So I mean our business, there's 2 fundamental seasonality dynamics. What we've experienced over the years is the seasonality of our PLG business. As we've talked about, our first quarter tends to be the strongest when marketing teams establish their budget and strategy for the upcoming year. And then there's seasonality dynamics in the lower end with SMBs and freelancers around holidays in the summer. With our Enterprise go-to-market and Enterprise portfolio, it's almost the opposite. We start -- we build momentum as we advance through the year. And as you would expect with an enterprise SaaS business model, that would mean that the back half is stronger. That's something that we expect will continue to shift as enterprise product portfolio continues to ramp and build momentum. And of course, we continue to make investments in scale in our Enterprise go-to-market.
Jackson Ader: Okay. Great. And then a quick follow-up on the dynamics between AI ARR and the rest of the business. Is it fair to say, okay, each quarter kind of take out the AI ARR added to get a better sense of the core growth rate of the business? Or are those 2 so linked that, that doesn't make any sense?
William Wagner: Jackson, this is Bill. I think they're becoming increasingly linked. I mean our belief clearly is that marketers need both. And I think the data would show and not just our data, but experts in the industry are saying more and more, they recognize that you're building AI search on top of SEO principles. And that's really what's fundamentally behind Semrush One, which is one product as opposed to buying multiple products that does it all. So I think it's increasingly going to be difficult to separate it. We'll do the best we can. We're seeing growth in SEO, and we're seeing growth in AI search. But increasingly, I think our products will have components of both.
Operator: We will now take our last question from Adam Hotchkiss from Goldman Sachs.
Adam Hotchkiss: I wanted to ask on the competitive landscape in AIO. I think we've all seen some of the headlines around VC funding in the AI Optimization space. So maybe just take a step back and walk us through your right to win, particularly given your historical success has primarily been in the SMB space, but is increasingly happening in the Enterprise space. Any interplay there would be helpful.
William Wagner: Sure, Adam. Yes. So I wouldn't say we've seen any change in the competitive landscape in terms of any impact to our business. There are definitely a lot of start-ups in AI visibility or GEO with copycat products. Most don't have any foundation in SEO. They don't have the experience nor the comprehensive data set that we've built over the last decade plus. So I'm sure some companies will emerge from that, but I think most will be absorbed or will fold, frankly. And I think if you believe the experts, SEO is something that is foundational. So we think the 3 things that differentiate us are, first of all, we have that foundation. We're the leader in SEO search. We have more SEO -- more people using our products across more companies than anyone else in the space. So that customer base and that experience and that -- those SEO tools provide us a great foundation. Secondly, the data that we've talked about, our data set is just much richer than anything else that any competitor can bring to the space. That gives a much more holistic view of what's going on, not just in AI search, but across classic search and social media and other tools, so I think that's the second real big differentiator for us. And I think the third, frankly, is the brand recognition that we have. We have -- we are the leader in the space. We're going to continue to leverage that brand. Even in our own customer base, we're still vastly underpenetrated from AI search capabilities. So that's a big opportunity for us. And McKinsey published a study last month that said only 16% of companies are actually monitoring their AI visibility systematically. So it speaks to the market opportunity that's pretty significant we see in front of us. But we feel really good about where we are competitively.
Adam Hotchkiss: Okay. Great. That's really helpful. And I think this is sort of an offshoot of that question. But are you seeing any -- I think we've all heard management teams, there being pressure from CEOs and Boards of Directors to spend on AI broadly. And I guess for your nontraditional SEO customer, maybe someone you haven't interacted with previously, are you seeing any new inbound sort of AIO-driven interest based on your launch of that product from someone who maybe wasn't an SEO customer historically. How much of that is really a driver here? Or maybe the opportunity is a little bit more with your existing base?
William Wagner: Yes. I think we believe there's strong opportunity in both new customers and existing customers. So I think we started when we launched the products, they were really around existing customers and selling into our base. I think more and more, we're seeing -- as you pointed out, this is in every boardroom is talking about this. So we're starting to see a lot more customers from the outside, even customers who are coming to us for the first time. Maybe they're using other products in the SEO search space, but they're using us now. They're coming to us for AI search, and that's really encouraging.
Operator: Thank you. I will now pass the conference back over to the management for any additional remarks.
William Wagner: Thank you for joining us today. We reported a solid quarter and our positive momentum in the Enterprise segment and our AI solutions continues to build. We're excited about the future prospects, and we look forward to speaking to you again next quarter.
Operator: Thank you. That concludes the Semrush Holdings Third Quarter 2025 Results Conference Call. Thank you for your participation. You may now disconnect from your line.